Operator: And good day, and thank you for standing by. Welcome to the first quarter 2025 Spectrum Brands Holdings, Inc. Earnings conference call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Joanne Chomiak, SVP Corporate Tax and Treasury. Please go ahead.
Joanne Chomiak: Thank you, Daniel. Welcome to Spectrum Brands Holdings Q1 2025 earnings conference call and webcast. I'm Joanne Chomiak, Senior Vice President of Tax and Treasury, and I will moderate today's call. To help you follow our comments, we have placed a slide presentation on the event calendar page in the investor relations section of our website at www.spectrumbrands.com. This document will remain there following our call. Starting with slide two of the presentation, our call will be led by David Maura, our Chairman and Executive Chief Executive Officer, and Jeremy Smeltser, our Chief Financial Officer. After opening remarks, we will conduct the Q&A. Turning to slides three and four, our comments today include forward-looking statements, which are based upon management's current expectations, projections, and assumptions, and are, by nature, uncertain. Actual results may differ materially. Due to that risk, Spectrum Brands encourages you to review the risk factors and cautionary statements outlined in our press release dated February 6, 2025, our most recent SEC filings, and Spectrum Brands Holdings' most recent annual report on Form 10-K and quarterly reports on Form 10-Q.
Operator: We assume no obligation to update any forward-looking statements.
Joanne Chomiak: Also, please note that we will discuss certain non-GAAP financial measures in this call. Reconciliations on a GAAP basis for these measures are included in today's press release and 8-Ks filing, which are both available on our website in the Investor Relations section. Now I'll turn the call over to David Maura. David?
David Maura: Hey, thank you, Joanne. Good morning, everybody. Welcome to our first quarter earnings update. And I thank you all for joining us today. Today, I'm going to start the call with an update on our operating performance and our strategic initiatives. Jeremy will then provide you all with a more detailed financial and operational update, including a discussion on our specific business unit results. During our last call, just to remind everybody, I talked about how fiscal 2024 was a year where we delivered on our promises, restored operating momentum to our business, set standards of excellence, and laid the foundation for a much more successful future. Fiscal 2024 was a transformative year for us. We accelerated our investments into brand-focused top-line driving initiatives, upgraded our capabilities in commercial operations, innovation, marketing, and advertising. We've materially strengthened our working capital management, and we've maintained what we believe is the strongest balance sheet in our peer group while returning significant capital to our shareholders through share repurchases and increased dividends. We've worked to gain back and maintain our investors' trust. Today, I'm happy to report that our momentum is continuing into fiscal 2025, and the work we've done to build operational excellence within our organization is paying off. I can now have you guys turn to slide six in our financial performance. We're pleased with the start to the year. We're pleased with our first quarter results. Net sales increased 1.2%. Excluding unfavorable FX, our organic net sales were up 1.9%. The investments we made in fiscal 2024 to upgrade our commercial operation and accelerate our top-line growth are paying off. You'll recall from last quarter's call that our sales this quarter were going to be negatively impacted by approximately $10 million in global pet care sales that were accelerated or pulled forward into last quarter in advance of the go-live we did on our new S4 HANA update, which was completed on October 3, 2024. Our home and garden business has had a terrific start to this year. While this is the slowest quarter of the year for that division, the home and garden team saw an opportunity to capitalize on a warm fall season in many regions of the US, and we partnered with our retail customers to create another demand microseism called the fall crawl. The holiday season generally came in as we expected for our home and personal care business. Competitive pressures in the small kitchen appliance category remained high, but overall demand was generally stable. And the consumer trend of increasing online purchases continued. Our investments in e-commerce helped drive another quarter of outsized commerce growth for our HBC business. Our adjusted EBITDA in the first quarter of $77.8 million delivered an increase of $16.5 million over last year or a 26.9% growth over last year's first quarter results if you exclude our investment income. Gross margins grew 140 basis points over the first quarter of fiscal 2024. Our businesses were diligent in delivering cost improvements and operational efficiencies to offset headwinds from ocean freight and tariff-driven inflation from last year's expiration of tariff exemptions. Staying lean is imperative to sustain the operating improvements we've achieved. Our teams approach each day with a lean mindset, continuously looking for opportunities to reduce and take out costs. We are focusing our spend toward top-line driven investments. In this quarter, we increased brand-focused investments by over $8 million compared to the same period last year. Our strong balance sheet continues to be one of the competitive advantages we enjoy, and we're leaning into that to drive our top line. We closed the quarter with net leverage under 1.1 turns. We're leveraging the balance sheet to support all facets of our operation and to spur growth. We can now turn to slide seven, and let's discuss the strategic priorities for the current fiscal year. We continue to invest in the brands to drive long-term growth, and that's really priority one. Last year, we began reinvigorating the focus on making smart ROI-positive investments in advertising, marketing, and R&D. This quarter, each of our businesses increased their investments compared to the first quarter of fiscal 2024. We're seeing significant returns on investments made toward e-commerce leadership capabilities, and we expect our spend this year will be more consistently spread throughout the year in terms of phasing. That will put pressure on comparables in the first half of this year. We're strategically investing in inventory to support sales growth and particularly our e-commerce expansion. While we make these investments, we're looking across all facets of our working capital for opportunities to maintain our best-in-class working capital management capabilities, which we've recently put in place. We believe there are opportunities actually to deliver even more work during this fiscal year. Our investments in innovation are actually expanding our core categories, and we're driving sales into new adjacencies as we speak. In global pet care, we are expanding our GoodN' Fun brand into Good and Tasty for cat treats and toppers, adding a brand alongside our Meowi brand in the growing cat treat category. We will launch health and wellness products under our Goodboy brand, and later this year, we will be entering the dog food category in North America with a complete nutrition product line. We are investing in our operations to improve our cost, quality, and safety. I'm very pleased with the operational teams. They are delivering productivity savings in our factories, our distribution centers, and throughout our sourcing operation. Our operations and commercial teams are activating plans right now to minimize and mitigate the impact of the recently announced US tariffs.
Operator: While we purchased very few goods from Canada or Mexico,
David Maura: Our HPC business and GPC businesses both source material levels of product from China. Many of those products are already subject to tariffs ranging from the high single digits up to 25%. The incremental 10% tariff on Chinese work-sourced products will impact our cash flows almost immediately. But given our inventory turns, the effect on our P&L won't be seen until the third quarter. With all of that said, we do expect to mitigate the vast majority of any currently announced tariff impacts in the year. The business that will be most impacted by the recently announced tariffs is our HBC business. Come into the United States, and nearly all of those are currently Chinese short. Last year, we began implementing a plan to move production for U.S.-bound products out of China. Moving production for our appliances is not a quick process because we want to ensure we have very high-quality products. That's the top priority. However, we've recently accelerated these plans, and by the end of this fiscal year, we anticipate that approximately 35% to 40% of all our U.S.-bound appliance products will be sourced outside of China. And we will continue to look at opportunities to accelerate and migrate our purchase. And in the meantime, intend to minimize the impact of incremental tariffs through both supplier concessions and pricing and cost improvements. If we can turn to the strategic transaction for HPC, while we're still engaged with several potential buyers on the M&A side, clearly the changing landscape for US tariffs has created some uncertainty. And that slowed down the dual-track process we undertook last summer. We are pleased that the business continues to perform well, although the timeframe for a separation is taking longer due to these geopolitical factors that are simply outside of our control. We will continue to seek opportunities to maximize value with our HPC business. And we will provide updates on our earnings calls or sooner if there's news to share. I can now direct everyone's attention to slide eight. And I'll give you a little bit of an update on capital structure and recent share repurchase activity, etcetera. During the first quarter, we repurchased approximately 800,000 shares. And in December, we put another $150 million 10b5-1 plan in place that allows us to continue buying shares during otherwise restricted periods. Year to date through today's call, we have repurchased approximately 2.1 million shares for about $183 million in total. Since and then since and quite frankly, since the close of the HHI transaction, we've returned over $1.2 billion to shareholders through our various share repurchase programs. We've really materially reduced our share count. In fact, we've driven our share count down by 36.6% to be exact. We're going to continue to reward our shareholders, and we've recently increased our dividend payout. We have approximately $220 million right now remaining on the share repurchase authorization that we recently updated with our board of directors.
Operator: In terms of balance sheet strength, our net leverage, it's
David Maura: Still well below our long-term target, which is a range of 2.0 turns to 2.5 turns. And so we clearly have ample capacity to both fund the investments in our company and continue to return. As we keep our internal momentum going, and we keep delivering our commitments, and we keep shrinking our share count. We do believe that eventually our share price will react positively. If we can now turn over to page nine. After a good first quarter start, we are currently reiterating our expectations for our full-year sales, adjusted EBITDA, and free cash flow. The investments in innovation and brand building that we've made since the start of fiscal 2024 are helping us to grow our top line organically. We generally see healthy retail inventory levels in our categories. We had a very good holiday season for HPC. And we're off to a terrific start in our home and garden business. And we're introducing a lot of new innovation in our global tech care group. Now before I turn the call over to Jeremy, I do want to take a minute to thank each and every one of our global employees who are continuing to help us drive momentum, and they are gonna help us thrive in fiscal 2025. I'll turn the call to Jeremy, and he'll give you a lot more information on the financials. And a lot of additional business unit color and insights. So over to you, Jeremy.
Jeremy Smeltser: Thanks, David. Good morning, everyone. Let's turn to slide eleven and a review of Q1 results from continued operations. I'll start with net sales, which increased 1.2%. Excluding the impact of $5.1 million of unfavorable foreign exchange, organic net sales increased 1.9% primarily due to an acceleration of inventory builds at certain retailers and an extended fall season in our home and garden business, as well as continued growth in e-commerce within our home and personal care business. This was partially offset by a previously communicated strategic pull forward of orders in the Q4 of last year in GPC, in preparation for the S4 HANA ERP implementation. Gross profit increased $12.9 million and gross margins of 36.8% increased 140 basis points. Largely driven by impacts from cost improvement actions, operational efficiencies, and favorable transaction FX, partially offset by ocean freight inflation and higher tariffs from the expiration of exemptions on certain product lines from last year. Operating expenses of $213.1 million decreased 3% due to the absence of a trade name impairment compared to last year. And cost reduction actions were partially offset by increased investment spend in advertising and marketing, as we continue to invest behind our brands. Operating income of $44.7 million improved by $19.7 million driven by the gross margin improvement and lower operating expenses I mentioned. GAAP net income and diluted earnings per share both increased primarily driven by the higher operating income, lower interest expense, and lower share count, partially offset by lower investment income. Adjusted EBITDA was $77.8 million, a decrease of 7.7% or $6.5 million driven by investment income of $23 million in the prior year
David Maura: And increased brand-focused investments, partially offset by higher volume and improved gross margins. Excluding prior year investment income, adjusted EBITDA was up $16.5 million. Adjusted diluted EPS increased by $0.39 to $1.02 per share, driven by lower interest expense and the reduction in shares outstanding, partially offset by lower adjusted EBITDA. Turning to slide twelve, Q1 interest expense from continuing operations was $6.2 million, decreased $13 million due to our lower outstanding debt balance. Cash taxes during the quarter of $8 million increased $4.6 million from the prior year. Depreciation and amortization of $24.5 million decreased $1 million from last year, and separately, share-based compensation increased $800,000 to $4.7 million from $3.9 million in the prior year. Capital expenditures were $5.9 million in Q1, $2.5 million lower than last year. Cash payments towards strategic transactions, restructuring-related projects, and other unusual nonrecurring adjustments were $8.8 million versus $16.3 million last year. Moving to the balance sheet, we had a quarter-end cash balance of approximately $180 million and about $491 million available on our $500 million cash flow. Total debt outstanding was approximately $575 million, consisting of $496 million of senior unsecured notes and $79 million of finance leases. We ended the quarter with just over $395 million of net debt. Now let's get into the review of each business unit to provide details on the underlying performance drivers of our operational results. We will start with Global Pet Care, which is on slide thirteen.
Joanne Chomiak: Reported net sales decreased 6.1%
Jeremy Smeltser: And excluding favorable foreign currency impacts, organic sales decreased 6.4%. Sales declined in both the companion animal and aquatics categories, primarily driven by last quarter's pull forward of approximately $10 million of sales prior to GPC North America's October 3 go-live on our new ERP system. The implementation went well, and we are pleased to say our operations are running smoothly. As anticipated, this put pressure on our first quarter sales. To add some perspective on the impact this had on our quarterly results, if we look at the four-month period from September through December of 2024, which would eliminate most timing differences resulting from the pull forward, GPC's reported net sales grew 1.8%. GPC EMEA, which was not impacted by the S4 HANA go-live, grew sales in the mid-single digits. We are seeing solid sales growth for the Goodboy brand as we expand distribution throughout continental Europe and introduce new products that are being well received by consumers. The chews and treats business also had several successful holiday campaigns in EMEA. Dog and cat food e-commerce sales had a strong growth quarter as well. Sales in North America declined low double digits, impacted primarily by the sales pull
Operator: Forward into the fourth quarter.
Jeremy Smeltser: North America's Companion Animal sales were also adversely impacted by many of our North American brands like Good and Fun, Nature's Miracle, and Furminator are premium brands, and we see consumers looking for lower-cost options, including choosing smaller pack sizes and/or private label. To combat this pressure and continue to build our brands, we are investing in value-focused innovation, brand building, and promotional programming to strategically differentiate our products and win with consumers. Soft consumer demand in aquatics continued to impact our sales this quarter. The aquatics category has been especially impacted by low foot traffic in pet specialty. E-commerce sales were in the mid-twenty percent of GPC's global sales and were relatively flat to last year. One of our large e-commerce customers experienced capacity issues at its fulfillment centers attributable in part to high levels of inventory on hand during the holiday season, which impacted their repurchase levels in the quarter. We did see strong POS for our products at this retailer and expect those capacity challenges to stabilize in the second half of the year. Our strategic investments in GPC brand-focused innovation, marketing, and advertising position us well for future top-line growth. In North America, our recently launched Good and Fun national ad campaign is running during both live sports and on network TV, driving significant brand awareness and expanding our distribution channels. We plan to further expand the campaign in the near term, such as through our partnership with Good Morning America, a live custom segment with an in-studio dog competition where these good and fun pups will compete in a low-stakes obstacle course with the winner taking home a year's worth of good and fun dog treats. We are also launching DreamBone Collagen and High Protein Dog Treats this spring. These products cater to the growing demand for nutritious health-focused products, and we already have listings at one of our largest retail customers. We are also excited to launch nutritional dog food in North America later this year. In aquatics, we secured a new aquarium kit program with a major retailer that will begin shipping later this fiscal year. These all-in-one aquarium options target consumers new to the hobby, helping drive household penetration and long-term category engagement.
Operator: We will manufacture the tanks and assemble the kits
Jeremy Smeltser: At our Noblesville, Indiana facility. Adjusted EBITDA for GPC decreased by $1.2 million to $51.5 million, primarily driven by lower sales volume and inflationary pressures in ocean freight, offset by operational productivity improvements and other favorable variances. GPC also increased its brand-building investments this quarter, continuing to invest behind strategies to drive sales growth for the business. For fiscal 2025, we expect GPC sales will be relatively flat to last year. With approximately a third of GPC's business in Europe, we expect FX headwinds to negatively impact our reported net sales growth level. We expect cautious consumer behavior given the premium placement of many of our brands, and we anticipate continued pressure in North America from consumer trade-downs. We remain cautious about aquatics, where demand continues to be soft and has not yet returned to pre-pandemic levels. We are moving now to home and garden, which is on slide fourteen. Net sales increased 27.9% in the first quarter, driven primarily by the timing of seasonal inventory build by certain retailers. The first quarter is typically H&G's slowest sales quarter and represents a small portion of the annual consumer activity for this business. The quarter is predominantly focused on preparation and staging for the seasonal business, which typically begins later in our second quarter. Order trends support our view that retailers are starting the season with normalized inventory levels. Sales increased in all categories other than cleaning. Sales in controls and repellents increased most substantially, with strong demand also aiding growth in household pest sales.
Joanne Chomiak: In
Jeremy Smeltser: A relatively warm fall season also extended demand further into the fall. At the end of January, the H&G business successfully went live on our S4 HANA ERP. While the impact of that go-live on quarterly sales was less pronounced than it was with the GPC North American go-live, about $4 million to $5 million of the quarterly sales favorability was attributable to retailers cautiously building inventory to ensure supply during the go-live. Including quarterly sales comparisons are being affected by the loss of some distribution last year. But sales trends for Rejuvenate's floor care products are gradually improving, led by the Click and Clean Mop Kit. Our H&G commercial teams partnered with retailers this fall behind a new fall crawl campaign to drive demand during the extended fall season. We supported the campaign with brand-focused media investments and drove share growth for both the Spectracide and Hot Shot brands this quarter. We are increasing our fall crawl investments this coming fall. Based on the success of the campaign, we anticipate we are excited about our new products that are being introduced this season, including the Spectracide Wasp and Hornet Trap and the Hot Shot flying insect, which are already gaining traction with retailers. This will be the second season for our Spectracide One Shot product line, our longest-lasting Spectracide product. Spectracide One Shot had a strong first year, looking for increased efficacy at a superior value, and resonated with results-focused consumers. We will have incremental Spectracide One Shot displays in retailers this season and will support growth for the product line and the Spectracide brand with brand-focused investments. Adjusted EBITDA was $9.3 million compared to a loss of $700,000 last year. The increase in adjusted EBITDA was primarily volume-driven, aided by cost improvements and favorable trade variances, offset by an increase in brand-building investments and some inflation. For fiscal 2025, we expect low single-digit sales growth for H&G, and we are planning for weather in 2025 that is generally similar to the 2024 season. We anticipate that our retail partners will be supportive of the lawn and garden category.
Operator: We
Jeremy Smeltser: Certain retailers continue to expect a cooler start to the season, which could impact the timing of orders and reorder patterns.
David Maura: We do expect the category to be competitive, and we will continue to
Operator: Throughout the year.
Jeremy Smeltser: And finally, home and personal care, which is on slide fifteen. Reported net sales increased 1.4%, and excluding unfavorable foreign exchange, organic net sales increased 3.1%. High single-digit organic sales growth in global personal care was offset by low single-digit declines in global home appliances. Continuing recent quarterly trends, HPC's e-commerce sales growth significantly outpaced brick-and-mortar sales. This quarter, e-commerce sales accounted for over 30% of HPC's quarterly global sales. We were overall pleased with the holiday season. We generally saw stable consumer demand with highly competitive retail markets. North American sales decreased low single digits, with growth in personal care offset by sales declines in home appliances. Within personal care, hair care and grooming sales grew this holiday season, while home appliances saw competitive pressures in toaster ovens and air fryers. Sales in the EMEA grew high single digits in both personal care and home appliances. EMEA also saw strong e-commerce growth, particularly in hair care, beverage, and garment care, as well as new listings at a number of traditional retailers across the region. Latin America posted organic single-digit sales growth, led by growth in personal care, where we gained new distribution from successful new product launches, offset by low single-digit declines in home appliances. We had a great season online. Consumers are increasingly going online for HPC's categories, and we are investing behind that global trend to drive top-line sales. One standout product for us was the Emeril French Door air fryer toaster oven, where we saw especially strong online sales. The Russell Hobbs garment steamer is gaining momentum throughout the UK and continental Europe.
Operator: And our Remington Balder continues to get new listings and gain share
Jeremy Smeltser: Both online and in traditional retail, gaining traction and driving awareness of the Remington brand with consumers. We plan to introduce new Remington lines in multiple North American retailers and international markets during fiscal 2025. Building off the successful Remington One launch a year ago, we will continue to activate brand-focused investments to drive top-line sales of our current product portfolio and our new product launches throughout fiscal 2025. Adjusted EBITDA was $26.7 million in the quarter, flat to last year. The adjusted EBITDA margin of 7.7% was also relatively flat to last year. Adjusted EBITDA benefited from higher sales volumes, continued cost improvement initiatives, favorable cost variances to last year, and favorable FX offset by inflation in ocean freight, higher tariffs, and increased brand-focused investments. Looking forward, we expect HPC sales to grow low single digits in fiscal 2025. As our most global business, we anticipate significant FX headwinds will negatively impact our reported sales growth levels. We see stabilizing consumer demand trends with pockets of softness in certain small kitchen product categories, and we expect a continued challenging competitive environment in North America.
Operator: We believe most retailers ended the holiday season with relatively
Jeremy Smeltser: Healthy inventory levels and expect HPC's growth in e-commerce to outpace growth in brick-and-mortar channels throughout the year. Turning now to slide sixteen at our expectations for 2025. Consistent with our prior earnings framework, we expect fiscal 2025 net sales to grow low single digits, driven by our brand-building investment strategy fueling top-line growth, offsetting pressures from current geopolitical and economic conditions, including FX headwinds. We continue to expect adjusted EBITDA to grow mid to high single digits, driven primarily by higher sales volumes and cost improvement actions offset by ocean freight inflation and the expiration of certain tariff exclusions on certain product lines within our home and personal care business.
Operator: As David mentioned, we
Jeremy Smeltser: Currently expect to mitigate the vast majority of recently announced tariffs in the fiscal year. Our earnings framework does not contemplate any additional tariffs beyond those recently announced. Turning to slide seventeen. Depreciation and amortization is expected to be between $100 million and $110 million, including stock-based compensation of approximately $20 million to $25 million. Cash payments towards restructuring, optimization, and strategic transaction costs are expected to be between $30 million and $40 million. Capital expenditures are expected to be between $50 million and $60 million, and cash taxes are expected to be $40 to $45 million. To end my section, I want to echo David and thank all of our global employees for their hard work so far this year. Now back to David.
David Maura: Hey. Thank you very much, Jeremy. And everyone for joining us on the call today. Let's just take a few minutes and recap the key takeaways. You'll find those on your slide nineteen. But there's no question about it. We're currently operating in a dynamic environment today. The developing tariff landscape will certainly have an impact on us and our business. But while, you know, in the meantime, we're implementing contingency plans. We're moving production out of China. We're redesigning supply chains. We're also working with our suppliers and retailers to cover the recently enacted tariffs. We expect consumers to be cautious as they digest the new international trade environment and the eventual implication on prices and inflation. We also expect FX headwinds to impact reported sales numbers. However, we remain focused so we can control. We're investing in innovation and top-line driving initiatives. We are expanding the reach of our brands to adjacencies. We're letting consumers know about the value of our products. We're staying lean and focusing our spend toward growth. Very pleased with the start of the year. We are continuing to make in 2025. The brand-focused investments we started to make in 2024 are driving innovation in our products and consumer demand at shelf and online. Our investments in e-commerce from leadership to strategy to content to fulfillment are helping us win in what is the fastest-growing channel for most of our product portfolio. HBC delivered another solid holiday season, and our investment in e-commerce is one of the reasons we keep winning there. Home and Garden had a fantastic quarter. While a portion of their sales increase is due to timing because of accelerated purchases prior to the business's go-live on S4HANA, we're looking forward to a good season in Home and Garden. Based on our discussions with our retail partners, we expect retailers to be supportive of the lawn and garden category this season. To help drive foot traffic into their stores. While we can't control the weather, we're ready for another season of growth. For global pet care, when we even out the quarterly impact of sales acceleration to last quarter, sales also grew. Our S4 HANA go-lives have been successful. And we now have global pet care North America and our home and garden businesses on the new platform. And we're focusing now on expanding that ERP system further internationally as the year progresses. Overall, we have a ton to be proud of. And I'm excited about our continued momentum.
Operator: Performance?
David Maura: While the world is currently in a volatile state, I'm very pleased with our operating performance. Our inventory levels are healthy. And we are maintaining best-in-class service levels to our customers. We are thrilled to have the lowest levered balance sheet in our space, allowing us to invest in our operating units and return significant capital back to our shareholders. We will continue to believe that our share price is significantly undervalued, as evidenced by recent M&A multiples in the pet space. We are highly optimistic that by continuing to improve our operating performance, we will ultimately succeed in a better multiple. Right now, I'll turn the call back over to Joanne, and we're happy to take your questions.
Joanne Chomiak: Thank you, David. Operator, we can go to the question queue now.
Operator: To withdraw your question, please press star one one again. Please standby while we compile the Q&A roster. Our first question comes from Brian McNamara with Canaccord Genuity. Your line is open.
Brian McNamara: Hey. Good morning, guys. Thanks for taking the questions. Understanding you sell very different product lines, a large garden competitor sounded pretty optimistic heading into the spring last week. Another competitor last night was, we'll call it, cautiously optimistic. Obviously, not asking you to predict the weather, but it sounds like you're planning on the same weather as last year, which is probably a good way to be given the last few years. But
David Maura: Are earlier load-ins and overall retailer behavior suggesting they're a bit more committed to the category than they've been in some time?
Brian McNamara: No. I would say it feels to me that retailers in general are the same level of commitment as they were last year to the category. I do see some incremental off-shelf seasonal space coming to our categories. It was really a couple of years ago, I think, where retailers tended to step away or move to some adjacent categories for the spring season. So I do think back to the consumables, controls, there's a big focus there. I think retailers load at different times each year. So we were pleased to see that. It helps the factory level load. It helped us get ahead of some of the go-live activity that we had at the end of January for that business. But overall, we're in a good place. I do think that activity is really a pull forward of loading from Q2 to Q1. So I would expect, frankly, it would come out relatively dollar to dollar in Q2. But at the same time, we'll see how the spring season progresses. Inventory looks really good across the brick-and-mortar retail space for our categories, and we're excited about the season.
Operator: I think we're taking a prudent approach to what we're saying we're expecting for the year.
Brian McNamara: And if we have a better weather season than that, there's a potential for it to move up.
David Maura: Got it. And I We just got Go ahead. Sorry. Go ahead, David. No. No. I just I just wanna really call out the team there. I mean, it
David Maura: Home and Garden for us has been a remarkable turnaround. I think the whole industry No. You kinda had the COVID situation, and then you had kind of the overhang of tons of inventory. What I think we're doing a little bit better than competition. I mean, I really wanna thank the team there, led by Javier. We're just much sharper. On innovation. We're much sharper on the efficacy of the product. We're sharper on marketing. I mean, look, we just, you know, we just had nearly a record quarter. Right? We nine million dollars in EBITDA for Q1 is phenomenal. And so look, I do think retail is a committed category. And as I said in my opening remarks, they really love the efficacy and the value that we play at. It drives a lot of foot traffic. So look, you know, it's a I think we are being prudent, but let's hope some good weather. It should be a good year for Home and Garden. We're excited about it.
Brian McNamara: Yeah. And while I have the opportunity, I also just say thanks to that Home and Garden team or supply chain teams, our finance team, just it's we're super excited to go live on us for the end of January, four months after we did GPC North America. It's a six hundred million dollar business that went live with no hiccups we're operating. So just a big shout out to our internal teams. Great. And then I go ahead. That's what's
David Maura: You're good. On HPC, while I understand
Brian McNamara: It's not a core asset, could this kind of delay be almost like a blessing in disguise? Does it make sense to maybe hold on to the asset a little while longer while you nurse it back to health? With a large player winning with innovation in the space, there's a reasonable school of thought that, you know, with innovation returning to the category overall, the higher quality businesses might fetch higher multiples, particularly as we get some certainty on the policy front.
David Maura: Yeah. Listen. There's no question. I mean, last summer, you know, we went and filled things out, and we were overwhelmed with the response we had, to be honest. And so we got super confident we would find a complementary partner, a merger synergy, you know, global scale type play that would create a lot of value for stakeholders. There's no question that, you know, change in administration, you know, tariffs that that that makes things harder to value it creates volatility. And so that's, you know, it just slowed things down. But I think if you zoom out, you know, again, just to thank the team there and Tim Wright, you know, they've done a yeoman's job to run this business around. I mean, it's less than two years ago. It was a forty million dollar EBITDA business. You know, we returned to seventy million plus. Our goal is to get that back to eighty and then a hundred. And so, yeah, we've got some short-term headwinds right now with FX and tariffs that are unwelcomed. But we face into these things. We manage and we'll mitigate them. And I agree with what you're saying. You know, there's no question that we can draft off some of this innovation. We can be a value price point player. And I think, look, that's how you ultimately create more value. Right? As you continue to just focus and improve your fundamentals. But this industry is absolutely right for consolidation. It has to happen. It will happen. And we just have to, you know, listen. We gotta keep doing what we're doing as great stewards of the asset. And eventually, the right situation will come along, and it'll unlock some value. But that's where we're gonna steer the boat.
Operator: Thank you. Our next question comes from Ian Zaffino with Oppenheimer. Your line is open.
Ian Zaffino: Hi. Great. You know, thanks for taking my question. And then thank you. You know, how are you guys? On the pet side, you know, just drilling down a little bit on this, you know, two items. And you know, the e-commerce business, what is that now growing? I know you kinda called it out a flat, but there's one retailer. So if you kinda back out that one retailer, maybe give us an idea of kind of the core growth of the online business in GPC? And then also, are you seeing any signs of, like, bottoming in aquatics, or is this kind of a, you know, a long haul sort of wait and see?
David Maura: I'll hit the first piece and then, you know, Jeremy, as always, will fill it in and give you more detail. Look. Online, we continue to win. You know, POS has been double-digit growth for that business since we put a new e-comm team in there and couldn't be more pleased with Mayor and Will. Just again, bringing lots of new content, lots of new excitement, lots of new digital advertising. So very vibrant there, and that continues. You know, very recent, you know, today or this week. I mean, we continue to grow double-digit there in terms of POS. So we did have a big player that, you know, had some capacity issues, and so our factory shipments did not match that POS. Great. And then we had a major pull forward of revenue into that upgrade to S4 HANA. September quarter from December because we had to tell our customers we were doing a major SAP. We didn't want them out of stock. And so there's definitely some distortion in the pet business here in Q1. But fundamentally very vibrant. We are tweaking things. You know, we do have some premium products. There is pressure on the consumer. You know, we wanna work with our vendors and our customers, and we wanna get a higher growth rate there for sure. We're also we would also tell our investors, look, we are making top funnel investments. Those take longer to pay back. They just do. But, you know, we've built, you know, from my seat, we've taken a good and fun business from thirty, fifty million. It's now a quarter billion dollar wholesale business. The American consumer doesn't really know that brand like I want them to. We've gotta spend money. We've gotta get awareness of. We've gotta build brand equity. That is a longer payback, and we are clearly burdening the earnings of the company with it right now. But those are the assets that ultimately get great value. You saw just ninety days ago, a company trade for twenty-two times EBITDA. Now granted that's food-focused, had a little faster growth rate than us. But we're pretty convinced if you build giant scalable, attractive pet assets, they're worth a hell of a lot more than where we trade currently at seven times, and we're gonna keep banging on that. Aquatics has definitely been a little bit of a slower slog. But we're the dominant player there. It's a great margin business. We're gonna continue to do things like glowfish and try to bring news and excitement to the category. We figured out how to make a bigger Angelfish light up in the tank and get that as part of the glowfish family. We saw a big lift there. Support some of our major brick-and-mortar retailers. We are increasing our tanks business too. But it's definitely been a more challenged category. Jeremy, you want me? Yeah. I mean, I think it's
Jeremy Smeltser: It's a bit of a tale of two cities between what we see in Europe and what we see in North America. You know, new entrants to the category, particularly in North America, are difficult right now. It's a relatively expensive entry point for this economic cycle that we're in. That's why, as I mentioned in my prepared remarks, you know, some of our new products and new agreements with brick-and-mortar are some smaller tanks entry-level to start building that. We do see relatively steady demand for all the consumables. That's a good thing. That's where we make our margin, and you can see that where the EBITDA performance is holding up nicely. And, you know, the other reason that, you know, beyond the installed base in Europe, I think that we see a little bit more steady performance in Europe. But there's also a larger pond market. You know, think koi, outdoor, even indoor. A koi, that's a bigger market in Europe than it is in the US, a bigger consumer base, so that's very steady. Particularly on food, but also on water treatment.
Operator: Okay. Thank you. And I need to just sneak in one more on the M&A front.
Ian Zaffino: Any need to buy anything here? How do you think about kind of if we do hit an innovation cycle if you're well-positioned? Or if you need mass anywhere else. Just sort of your current thoughts on M&A. Thanks.
David Maura: Give me that again. I didn't hear it exactly, Ian.
Joanne Chomiak: I'm just saying, what do you need? Do you need to do M&A?
Ian Zaffino: If you do, where do you need it? Do you need it from, you know, maybe help on more innovation or maybe more scale? Or anything like that or adjacencies. Just any kind of discussion or color you could give us on what you're thinking on M&A. Maybe just nothing, but yeah.
David Maura: Look. Listen. I've looked at tons of transactions in the last nine months. Most of these things are price points that I don't think, you know, we don't wanna deploy capital at the wrong price point. So we passed on tons of deals. You know, we continue to buy shares. You know, even today, the share price is down a little bit as we're doing this call. I don't understand it. But that's okay. If people don't wanna own the shares, we're happy to buy them. We frankly think that our billion-dollar franchise is worth a lot more than seven turns, and eventually, we're gonna get approved right on that. As you can see in our opening remarks, we are launching a number of adjacencies. We are getting into cat treats. We're taking that good and fun Halo brand, which we're pretty dominant in dogs use. We're going into good and tasty. We've started a business there, and we've grown fine. Zero to ten million bucks, we gotta get bigger faster. We've got Meowi, launching over here. We're taking our Goodboy brand, which has been a home run for us in the UK. And we've taken that into continental Europe, but we're gonna launch food, actual dog food under that brand here into the summer and fall of this year. And frankly, we wanna get into the health and wellness business, and you can see us launching collagen and other things into some of our treats and chews. And so those are adjacencies we're currently building organically. But there's no question, you know, we're an underlevered balance sheet. Everybody calls us to sell us stuff. And we wanna acquire higher-growing globally scaled assets in those categories, cat, wellness, health and wellness, and food. But we have got to maintain discipline and patience, and we believe that is how you win in the M&A game over the long run.
Operator: Thanks for your help. Thank you. Our next question comes from Olivia Tong with Raymond James. Your line is open.
Olivia Tong: Great. Thanks. Good morning. Oh, I'm here. Hi. How are you? I'm great. It's impressive that you cut your exposure that dramatically by or planning to cut your exposure that dramatically on tariffs by year-end. So if you could talk about the actions in place to do that, whether pricing is a component of that. And also the competitive dynamics in your HPC categories as well, particularly at the sort of opening price point level. And given the efforts that you've made to lower your China manufacturing exposure in the obviously evolving political backdrop, how does that impact your commitment to exiting this segment? You know, realize, of course, that you said earlier, you remain committed to doing that, but just your sense of urgency in doing that. Thanks.
David Maura: Look. I think, big picture, let's just restage this. You know, our home and garden business is largely a North American company. We manufacture, we source, you know, we have raw materials, web finished goods. We do basically all that in the USA. So there's very little tariff impact on the home and garden business. We have been very deliberate over the last five, ten years on getting dual source, triple source, quadruple source in pet. We still have product coming out of China. But it's relatively small. And, you know, we are gonna we have access to tons of factories, tons of vendors, both here in the US and in other parts of the world, where we currently source, and we can flex capacity and move that around. And we could completely exit China, you know, if the environment so demands. That's not gonna happen overnight, but if it comes to that, we have that flexibility, and we can work on that. Depending on how the numbers fall. It's HPC that's exposed. And, you know, we've been over there. You know, we've reached been in a number of different countries with new factories. And we have capacity coming along. We have products launching there now. What we're telling you is we can have 30% to 40% of that business moved out of China by the end of the year. And so that's kind of how that plays. But, you know, in the interim, you know, if tariffs are a problem, we obviously, we have to take pricing. We have to work with our suppliers to get lower costs and work both sides. And sure we stay viable so we can invest in innovation. And continue to market and be a valuable player to our competitors to our consumers.
Olivia Tong: Got it. Out on his room?
Jeremy Smeltser: Oh, alright. Yep.
Olivia Tong: Got it. And then in terms of the mid to high single-digit EBITDA target, you know, obviously, the tariff factor up is one factor. Perhaps you'd already assumed some level of increase in providing your initial outlook. But
Olivia Tong: Just talk about what's embedded in the target at this point, you know, and getting to that mid to high single-digit. Presumably, there's some costs associated with moving into other countries, what you've embedded as far as potential price increases in the back half of the year, if you could just give us a little bit more color there, that would be helpful. Thank you.
Jeremy Smeltser: We won't get specific into line by line how we plan to offset. But as we said, overall, we do tend to mitigate it in the year. Just to put a little bit of context for everybody listening, it's plus or minus $12 million impact to this year as currently announced with current dates in place. And so, you know, as we look at our playbook, you know, obviously, this is not the first time around mitigating tariffs. So we look at our playbook, which is working with our suppliers on cost, working with our retail customers on price, and also looking at other cost improvement opportunities across the platform. You know, we intend to mitigate that. And we'll see how the environment develops as we head into 2026. But, you know, David's already talked about the flexibility that we have and the additional flexibility we're gonna create, so you know, we feel very confident, you know, with the current announcements that are out there, we're gonna mitigate it in a confident way and just get more flexible, frankly, in our supply chains for whatever, you know, comes at us in the future. Obviously, it's a dynamic environment out there.
Olivia Tong: Got it. Thank you. Thanks, Olivia.
Operator: Thank you. Our next question comes from Peter Grom with UBS. Your line is open.
Peter Grom: I'm alright, David. How are you?
David Maura: I'm good. Thanks. Alright. So
Peter Grom: I appreciate all the color, you know, provided on an HCC. Capital allocation. You bought back a lot of stocks since the HHI transaction, but you kind of alluded to this a lot on the call today. Like, the stock's kinda been in the same spot. You know, valuation, you know, is certainly below where you would like. Right? So I guess how do you think about that? I mean and I guess
Peter Grom: Can you maybe talk about your willingness to maybe lean into buybacks in a more meaningful way just given where valuation is and especially just where your leverage is as well.
David Maura: Yeah. Look. I mean, I think we're in a great spot. You know? I mean, you know, after this call, I'm gonna write a really big thank you note to all our employees. I mean, we've really navigated quite a bit in the last three years. You know, prevailing over to DOJ, paying down all the debts, and, you know, this is kind of my hope that we would end up with a low-levered balance sheet and we'd be able to take advantage of opportunities. And I didn't think our stock price would be our biggest opportunity, but as long as it stays there, we'll continue to capitalize on it. But, you know, look, they think, you know, fundamentals always win. Sometimes you have to keep working a problem longer than you like. And I mean, listen. Let's just back up here. I think just the last couple of weeks is yeah. That adds a little bit of fall, a little bit of uncertainty to the world. And so you gotta go manage and mitigate that. But, no, I think we're in a really fantastic spot. And, you know, we're gonna continue to invest in the business and drive operating performance. I mean, first-quarter EBITDA growth, apples to apples, 26.9%, not a bad start to the year. And, you know, we look forward to continuing the progress we're making. And listen, eventually, eventually, eventually, you know, it won't just be all AI and big cap. Eventually, someone will pay attention and, quite frankly, undervalued, and we're gonna keep building great businesses.
Peter Grom: No. It makes sense. And then just on the HCC transaction, totally understand tariff uncertainty and but I just be curious, like, based I guess to the extent you can share, what do you think needs more clarity? Is it just simply knowing what the tariff situation looks like? You think these partners wanna see how the mitigation efforts play out? I'm just kinda curious what you think they want more clarity on especially since it seems like we're kinda getting, you know, at least hopefully, we'll be getting some more clarity on what actually happens or plays out in the couple of months.
David Maura: So I think if you're trying to price, you know, fast flows and NPVs and, you know, all this stuff is super recent. Right? And do we really know? Was that just an opening salvo, you know, to things change? I mean, listen, we're in a very fluid dynamic situation. And I know for myself, when I wanna allocate money, you know, you wanna get as much certainty as you can on the stability of those cash flows and what the if you're gonna play a game, you wanna know the rules of the game before you sit down at the table. And so I just think it's gonna take a couple of months to let the dust clear and see what the rules of the road are. And then, you know, you can have much more fruitful conversations. But you know, I can't control that stuff. And, you know, we're just gonna keep putting out a great product and making sure that we work with our vendors and retailers to have a great value efficacy message and, frankly, again, I point you back to just my earlier comments. I mean, we've been able to take an appliance business for forty million EBITDA back to seventy, and we're hoping for eighty and a hundred, and those plans are unchanged. You know, in the face of all this. So very pleased with the team. We clearly got some short-term headwinds to work through, but gonna face into them and overcome them.
Peter Grom: Thanks a lot. I appreciate it. I think we have I think we have time. Oh, thank you. One more in.
Operator: Thank you. Our final question comes from Bob Labick with CJS Securities. Your line is open.
Pete Lucas: Hi. Good morning. It's Pete Lucas for Bob. I'll keep it quick. Just one
Jeremy Smeltser: For you. Last year, you executed on an increase in sales and marketing as planned, which seems to have gone very well.
Pete Lucas: Where do you stand now? You talk about spreading it more throughout the year and focusing on e-commerce. But overall, do you see an increase in spending, or are you at the desired levels? Just kinda how are you thinking about it going forward.
David Maura: I'll do general in Jeremy and give you the specifics, but last year was pretty lumpy. And so what we're trying to telegraph is the spend is gonna be more even, you know, quarter to quarter to quarter. So that's the big takeaway. The spend was up a lot last year. Quite frankly, I still wanna make sure we get better returns on it. And so we're adopting new measurement tools and all the rest of it. I said in the earlier comments, a lot of the investments are new for us. We've never been a company that's done a lot of top funnel, or end awareness advertising, and that takes longer to get a payback on. But no. I mean, we just told you we spent eight million dollars more in Q1 on marketing than we did a period a year ago. So we're continuing to spend more money. But we wanna drive brand awareness. We want brand equity to be built. And we wanna continue to drive customers to consumers, to our customers' stores and websites.
Jeremy Smeltser: And I was wanting to add quickly is it is relatively dynamic. I mean, there's even a couple of things in Q1 where we dialed back spending a bit. Where we weren't seeing the level of return that we wanted. And so as we sit here today, though it's early in the year, I would tell you the full year will probably be up a little bit, probably not as much as the ten to fifteen million we expected when we started the year. And in fact, given the eight million dollar increase in Q1, we'll probably see, you know, Q3, Q4, it wouldn't surprise me to see a quarter where we actually have a little bit less spending year over year as we even it out as David said. But it has to be dynamic. You have to monitor it. You know, every week. You have to make sure you're getting the returns. And if you're not, you either dial it back or you reallocate it elsewhere to make sure you get those
Pete Lucas: Very helpful. Thanks.
Jeremy Smeltser: Thanks. Thank you.
Pete Lucas: Very good. Thank you. And with that, we have reached the top of the hour.
Joanne Chomiak: So we will conclude our conference call.
David Maura: Thank you to David and Jeremy.
Joanne Chomiak: And on behalf of Spectrum Brands, thank you for your participation this morning.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.